Operator: Good morning, ladies and gentlemen, and welcome to Avient Corporation's webcast to discuss the company's second quarter 2025 results. My name is Latif, and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Joe Di Salvo, Vice President, Treasurer and Investor Relations. Please go ahead.
Giuseppe Di Salvo: Thank you, and good morning to everyone joining us on the call today. Before we begin, we'd like to remind you that statements made during this webcast may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements will give current expectations or forecasts of future events and are not guarantees of future performance. They are based on management's expectation and involve a number of business risks and uncertainties any of which could cause actual results to differ materially from those expressed in or implied by the forward-looking statements. We encourage you to review our most recent reports, including our 10-Q or any applicable amendments for a complete discussion of these factors or other risks that may affect our future results. During the discussion today, the company will use both GAAP and non-GAAP financial measures. Please refer to the presentation posted on the Investor Relations section of the Avient website where the company describes the non-GAAP measures and provides a reconciliation to their most directly comparable GAAP financial measures. A replay of the call will be available on our website. Information to access the replay is listed in today's press release, which is available at avient.com in the Investor Relations section. Joining me today is our Chairman, President and Chief Executive Officer, Dr. Ashish Khandpur; and Senior Vice President and Chief Financial Officer, Jamie Beggs. I will now hand the call over to Ashish to begin.
Ashish K. Khandpur: Thank you, Joe, and good morning, everyone. I'm pleased to report second quarter organic sales growth of 0.6% in an uncertain macro environment where customers in most markets and regions are waiting for clarity on trade policy. Strong operational performance and cost controls helped adjusted EPS to grow 5% to $0.80, slightly ahead of our guidance of $0.79. We also expanded margins on the bottom line with adjusted EBITDA of 17.2%. This 30 basis points of margin expansion was driven by a favorable mix, productivity initiatives and disciplined discretionary spending, all things we continue to control tightly. As we enter the second half of 2025, market trends are not necessarily improving and uncertainty still remains around trade policy. Q3 is expected to be a continuation of Q2 in this regard. Our customers remain in a wait and see mode with consumer markets, in particular, showing weakness across the globe. Thus far, we have been able to more than offset consumer weakness by strong demand in defense and health care, which remain as bright spots for our business. Overall, for the first half of the year, organic sales grew about 1%, and we expect a similar demand environment for the second half of the year. We had shared our operational pay book for the current low demand, high uncertainty environment on our last earnings call. As a result of our actions from this playbook, we are well underway to realize approximately $40 million of benefits in 2025 versus last year. That is an increase of $10 million from our original estimate of $30 million that we communicated last quarter. These benefits come from a combination of sourcing, Lean Six Sigma plant productivity initiatives, optimization of our manufacturing footprint and discretionary spending control. We have already realized $17 million of benefits in the first half of 2025. The remaining $23 million will be realized in the second half, primarily from additional sourcing initiatives and further reductions in discretionary spending. These efforts more than offset both inflation primarily from wages and our investments in growth vectors that are critical for advancing our strategy. With respect to tariffs, any direct impact remains largely mitigated and consistent with what we discussed last quarter. We primarily source raw materials and manufacture our products locally in the regions that we serve. Direct P&L impacts to date have been minimal, because we can optimize our raw material purchases across regions, use our formulation expertise to identify material substitutions and where appropriate, proactively implement pricing actions. As we are on our journey to evolve Avient from a specialty formulator to an innovator of material solutions, I would like to highlight progress we continue to make along the way. The second quarter results marked the fifth consecutive quarter of organic growth for us. For the first half of 2025, we have grown sales and adjusted EPS by 1.2% and 4%, respectively, excluding the impact of foreign exchange. As a reminder, we grew 4% organically in fiscal year 2024. On the bottom line, so far in the first half this year, we have already expanded adjusted EBITDA margins by 20 basis points. We expect incremental year-over-year margin expansion in the second half and full year adjusted EBITDA margins should expand in excess of 30 basis points. And this would be following 20 basis points of margin expansion we realized in 2024. Our strong cash position and consistent ability to generate cash through an uncertain macroeconomic backdrop allowed us to pay down $50 million of debt during the quarter. We are on track with the plan we communicated last quarter, to reduce debt in total by $100 million to $200 million by year-end. We are deleveraging the balance sheet while making investments in our businesses based on our prioritized portfolio, growth vector selections and our strategic initiatives. As you may recall, we made strategic structural changes to our R&D organization to, a, share and transplant technologies from one business to another; and b, to hybridize multiple technologies from the same or different businesses to create differentiated products and solutions for our customers. Although early, we seem to be getting good traction on these fronts, which is helping us innovate more purposefully and differently than in the past. Patent filings increased by 50% in 2024 versus 2023. And in 2025, we are on pace to exceed year-over-year patent filings again. We are also collaborating on new launches with our customers, offering them unique and differentiated products. Some examples include our low temperature chemical forming agents for composite becking and flexible film packaging applications where we use a proprietary blend to optimize the reaction point of the foaming activity with the melting point of the plastic resin. This results in consistent high-quality lightweight materials with improved product performance that help our customers reduce their materials and energy usage while making their operations more productive. Another example from our Engineered Materials portfolio is our ability to create inherently lubricious characteristics in health care materials that promote patient comfort. Our patented technology delivers lower friction and enhanced processability in polyethylene tubing, which is expected to have utility in a wide range of important health care applications, including catheters, peristaltic pumps, CPAP machines and potential extensions to biopharmaceutical manufacturing. A final example is our patent pending advanced claim retardant materials for enhanced fire safety. Here, we leverage our glass fiber and resin capability to create an inherent inorganic film barrier when exposed to high temperatures greater than 400 degrees Celsius. This product line was launched earlier this year at the International Builders Show initially serving the building and construction and transportation markets with potential future expansion to other high-value applications in different markets. Before I hand it over to Jamie to discuss the details of the quarter's results and our updated guidance for the year, I wanted to provide a special thank you to our global teams. They continue to persist and execute well with eyes and focus on delivering both short- term quarterly results while doing the things to build for the mid- and long-term future that will make our businesses and capabilities stronger, and more relevant to the changing world. And in turn, we will be able to grow both our top line and bottom line in a sustainable manner.
Jamie A. Beggs: Thank you, Ashish, and good morning, everyone. Executing our strategy and playbook for the current environment enabled Avient success this quarter to deliver both sales and adjusted EPS growth while expanding our EBITDA margin. Looking at the Color, Additives and Inks segment. Adjusted EBITDA grew 4% on 2% lower organic sales. Weaker demand in consumer, transportation, building and construction markets more than offset strong growth in health care. Sales for packaging materials, the segment's largest end market were muted as growth in the U.S. and Canada, Asia and Latin America regions were offset by lower demand in EMEA. Despite lower sales, this segment expanded EBITDA margins 100 basis points through favorable mix and cost improvement initiatives. This included ongoing plant footprint optimization and streamlining the segment's organizational structure to better serve our customers. Our Specialty Engineered Materials segment grew organic sales 6%, driven by strong growth in defense and health care. Health care grew double digits with continued demand in our medical device equipment and supplies portfolios. Defense returned to double-digit growth after the tough first quarter year-over-year comparison. In fact, our defense sales were a quarterly record, supported by the recent new product innovations that we highlighted in our February earnings call. SEM's EBITDA was down slightly versus prior year, primarily due to planned maintenance in our Avient Protective Materials business. The maintenance will primarily impact the second quarter, and we anticipate the SEM segment to deliver margin expansion in the second half of the year. Looking at regional performance. I'll start with the U.S. and Canada, where sales increased 1% year-over-year. This growth was led by health care, where we continue to win in medical devices and drug delivery applications as well as strength in defense. This growth more than offset the impact of weaker demand in consumer, transportation and building and construction markets. In EMEA, sales were down slightly versus the prior year. While health care and defense sales were robust, packaging sales, the region's largest end market, accounting for 26% of the EMEA sales did not experience the typical second quarter seasonal benefit. Asia delivered 3% organic growth, the fifth straight quarter of growth in the region. Strength was across most end markets, notably health care and transportation. Latin America grew 6%, marking its sixth consecutive quarter of growth, which is also notable, considering it's lapping a comparison where the region grew 19% in the second quarter last year. This consistent performance is attributable to our local team who is winning new business and gaining share with global OEMs in the packaging application space. Turning to our guidance for the remainder of the year. We are narrowing our range. The new range reflects the mixed demand conditions we experienced through the first half of the year as well as anticipated's demand levels for the second half. Beginning with Q3, we expect third quarter adjusted EPS of $0.70, which represents 8% growth over the prior year quarter. The earnings growth will be driven largely by higher margins from favorable mix and productivity initiatives. For the full year, we are narrowing the range for adjusted EBITDA to $545 million to $560 million and adjusted EPS to $2.77 to $2.87. This considers our positive performance to date and productivity gains that will have a larger benefit in the second half of the year. This also assumes a year-over-year tailwind from foreign currencies of approximately $2 million in the second half, which compares to a $2 million headwind in the first half of the year. From a demand perspective, the low end of the range assumes a low single-digit revenue decline year-over-year in the second half. The high end of the range assumes low single-digit growth in the second half. As Ashish mentioned earlier, we remain on track to reduce debt in total by $100 million to $200 million this year, having already repaid $50 million in the second quarter. We still expect CapEx for the year of approximately $110 million and free cash flow to range from $190 million to $210 million. With that, Ashish and I will be happy to take any of your questions. Operator, please begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Frank Mitsch of Ferminum Research.
Aziza Gazieva: It's Aziza, on for Frank. My first question was around tariffs. Do you guys see any prebuying activity pulling on some of sales from 2Q -- from 3Q into 2Q? And just how are you guys thinking about prebuying in general?
Ashish K. Khandpur: Aziza, this is Ashish. We don't believe we have seen any prebuying in our business, coming out of COVID customers have gotten very smart with respect to managing their inventory tightly, especially in uncertain demand environment, and that's exactly what we are seeing now as well. Going forward, we expect the same. We have very little visibility to our sales because our orders, because our customers expect fast turnaround and as they're managing the inventory very tightly, so we are still looking at 20 to 30 days of order visibility. But based on what we can tell from everything the order book and the trends that we have seen in Q3 so far as well, we don't expect -- we don't see any prebuying kind of activity going on.
Jamie A. Beggs: And Aziza, maybe to add on, the majority of what we do is for local production in region. So we think our exposure in that regard would also be more limited than maybe others in the space.
Aziza Gazieva: Got it. And Jamie, I'm sorry if I missed it when you were talking about the outlook, but could you guys elaborate on what you guys are thinking on raws for the year? I know it's -- we were thinking maybe for the year 1% to 2% raw material inflation. Is there any update on that view?
Jamie A. Beggs: Yes. That view is basically the same. We expect 1% to 2% inflation in the raw material basket. We have seen hydrocarbons come down slightly, but we've also seen some increases in pigments and flame retardants. And as a reminder, about 35% of our raw material basket is from hydrocarbon. So while we get a little bit of benefit, we have to make sure that the rest of the basket is not also increasing. So no substantial change from what we provided in the last quarter update.
Operator: Our next question comes from the line of Michael Sison of Wells Fargo.
Michael Joseph Sison: Nice quarter. For the second half, I just wanted to get a better feel of what your outlook for volume is. A lot of companies have sort of guided to a little bit of a difficult second half. Customers are destocking in some cases. So I know you have a lot of good new product programs and such. So just -- any thoughts on how your volumes should look in the second half would be great?
Ashish K. Khandpur: Yes. Maybe, Mike, I'll take the opportunity to give a little bit more color across the markets and try to answer your question also in the process. So if you think about our big two consumer and packaging, that's about 40% of our portfolio. H1, they are like consumer is down 4%. Packaging is up 3%, and we expect that to be in second half kind of continuation of that scenario so that the ending point is minus 2% to minus 3% for consumer and plus 2% to plus 3% for packaging. So we think those two things offset each other more or less, given packaging is a slightly bigger business for us. Then the growth drivers for us are health care, defense and telecommunications. And those in first half of the year, defense is up 5%, health care is up 14% and telecommunications is up 7%. And if you look at what we are expecting in H2, we kind of expect high single digits to double-digit growth in those three segments -- in those three markets as well. So we plan to finish that 20% of the portfolio in that high single digits to double-digit range. And then the remaining 4 markets, which is industrial, transportation, building and construction and energy are in that minus 1%, 0 plus one kind of range, and they kind of offset each other. We expect a flattish finish on that side. So overall, I think -- you think about it, what's driving our telegraphed growth in second half, which is what we said in our call is similar to our first half is the 3, health care, defense and telecommunication markets growing at high single digits to double digits. From a volume perspective, specifically, I think we are expecting better volume in second half of the year, especially for the SEM business. Color will be probably more similar to the first half of the year. But on the SEM side, we expect -- even in second quarter, SEM had positive volume plus positive price mix. And I think that trend gets stronger as we move into the second half of the year.
Michael Joseph Sison: Got it. And then as a quick follow-up, EMEA portfolio is certainly looking more stable than others. I think your outlook for EBITDA is still up year-over-year, where several are going to be down quite a bit. When you think about demand getting better, if ever, we hope it gets better. What type of leverage do you think you'll get off that volume and EBITDA growth longer term?
Ashish K. Khandpur: So obviously, demand is going to help us a lot. As you see right now, a lot of our EBITDA increase in our projections is driven also by productivity, which will continue to be part of the playbook going forward. As you think about our productivity of $40 million, that's about 1.2% of sales. So that's something that we should expect year after year from a company like ours. And so on the organic side, as our portfolio is changing to a better mix because of our growth vectors, which are more profitable. I expect that a higher leverage to the EBITDA margins is going to come down. So over time, as the volume grows, we expect the mix to get better and our EBITDA margins to get better from that as well.
Operator: Our next question comes from the line of Ghansham Panjabi of Baird.
Ghansham Panjabi: I guess just building on the last question on the consumer weakness. Can you just give us a sense as to how that has evolved as the year has unfolded? From a high-level standpoint, have the number of categories you sell into broaden as it relates to the weakness? Or is it a shift geographically or a combination of the 2?
Ashish K. Khandpur: Yes. So Ghansham, I mean, at a macro level for Avient, consumer was flat in first quarter, and it is down 8% in second quarter. And if you look at it specifically consumer as a market, United States, Canada is our biggest consumer market, which was down double digits in both Q1 and Q2. So that's what's driving the consumer results. But essentially, we are seeing weakening of consumer because in first quarter, consumer war was positive in remaining geographies, except United States and Canada. But in this quarter, apart from Latin America, we are seeing weakness in consumer in all other three geographies. So consumer is certainly getting worse from our customers, talking to our customers, and we are seeing that in our numbers. And that's how we have projected in the second half of the year as well, we expect consumer to stay negative year-over-year and that's built into our numbers.
Ghansham Panjabi: Okay. And then I'm sorry if I missed this, but did you quantify the impact of the maintenance on 2Q on an EBITDA basis for the SEM segment? And then just separately, on the debt paydown target of $100 million to $200 million, why is that range so wide in context of the free cash flow generation for the year net of the dividend?
Jamie A. Beggs: Ghansham, so from a planned maintenance perspective for APM, the impact within the quarter is around $3 million. And like Ashish mentioned earlier, we expect that to basically just impact Q2 and margins will continue to expand when we get to the back half of the year for SEM. Regarding the debt paydown, I think it's just us being a little bit conservative of ensuring that the macro environment plays out like we want to. And so our goal is to definitely continue to pay down debt in the back half of the year, but we're also going to be cautious with our balance sheet and just ensure that, that cash does come in. We're confident in that. That's why we made the paydown in the second quarter of $50 million and expect more to come as we get to the back half.
Operator: Our next question comes from the line of Kristen Owen of Oppenheimer & Company.
Kristen Owen: So I wanted to follow up on the tariffs, but maybe from a slightly different angle. I understand that your tariff exposure is relatively limited. But with the uncertainty only increasing, I'm wondering if you're seeing pressure from your customers to help absorb more of their tariff costs. I know Avient has been good at historically pricing for value, but I'm just wondering if that's becoming any more difficult in this environment?
Ashish K. Khandpur: So maybe I can take a stab at it and then, Jamie, if you want to add something. Essentially, if you think about our RM bucket, so overall, yes, the answer is yes, we are seeing pressure on the pricing and to lower pricing because of these increased tariffs coming. And we are doing everything from working with our suppliers and for our customers to either qualify new materials or alternatives or try to bring down the cost somehow. In some cases, we are not able to do that. If you look at from an RM basket perspective, the commodity polymers, the polyethylene and polypropylene raw material side, we are not seeing much price increases on that front. Actually, there's excess capacity. So we are seeing a slight positive favorable price piece on that part. The piece where we are seeing more pressure is on the pigment side and as well as certain performance materials, both of which are about 15% each of our portfolio of our RM purchases. And there, we are seeing low to mid-single-digit kind of price increases. In case of specifically flame retardants, which is a very specific material that goes into our wire and cable business, but other pieces as well, we are seeing significant increases because of supply constraints. And there, we are not able to offset that -- those price increases working with our suppliers, and so we are passing that on to our customers. And there, the price increase we are talking about is almost more than 3x versus last year and more than 6x versus the year prior. So -- and that's purely driven because that material is largely comes out of China and there's a tight supply situation there. So in most cases, we are trying to work very closely with our suppliers and customers to keep the pricing same. We are, however, not able to take care of everything by doing the substitutions. And in cases where we are not able to do that, we are able to pass on the price to our customers.
Kristen Owen: That's really helpful. And then this is for Jamie. It's a little bit in the weeds, but just following up on the balance sheet piece of this. You guys took out a new revolver in the quarter. And my impression when that came out was that, that revolver was perhaps a little bit misunderstood by the market, what the function of that was. Can you just provide a little bit of background on that instrument, what that does for your balance sheet?
Jamie A. Beggs: Yes. Thanks, Kristen, for the question. So we basically converted our asset-based loan to a cash flow revolver and part of that was just an evolution of our debt profile. When we had our distribution business, we had a lot more, I would say, receivables and inventory to be able to secure the asset-based loan. And with that divestiture, it actually took down the total capacity that was available. So in order to ensure that we had, I would say, adequate liquidity, cash flow, revolver was a better option for us. And so in essence, it actually did increase our available liquidity, which was to the same amount that the asset-based loan would have been with the distribution business being in the business. So the cost between those facilities are roughly the same. It was just a measure to ensure that we had the liquidity that's commiserate with the size and the exposure that Avient has.
Operator: Our next question comes from the line of Mike Harrison of Seaport Research Partners.
Michael Joseph Harrison: Ashish, I was wondering if we could dig in a little bit on the health care portion of your business. And maybe can you give us some color on what portions of that market, you're seeing the best growth. And I'm also curious, you noted some new product introductions. How long does it take to qualify new materials in health care as opposed to maybe some of the less regulated markets that you serve?
Ashish K. Khandpur: Yes. So thank you for the question, Mike. Several things -- overall trend for health care has been quite positive for us. Last year, we grew 11%, health care year-over-year constant -- all my numbers are constant dollars. So -- and then Q1, we grew 11% and Q2, we are at 17%. So a pretty strong trend in health care. We are seeing growth both in our SCM side of business as well as the color side of business in health care. If you think about it from a portfolio perspective, 80% of our portfolio in health care is in three specific markets, which are medical equipment, and then our medical devices, so these could be like things like continuous glucose monitoring kind of devices or CPAP machines or things like that. And the other two are medical supplies, so these would be catheters and tubing, for example. And then the third part is drug delivery. So these could be injector pens and inhalers, those kinds of things. So these three things constitute about more -- about 80% of our health care portfolio, and we have grown 20% plus in each 3 of these categories in Q2. So pretty strong momentum. And it's all connected to the macro trends you are seeing with respect to obesity drugs and continuous glucose monitoring kind of situation. So we feel like we're in good shape there. These are spec-ed in products. So we have good visibility and the demand continues to be strong in these areas. With respect to specifically, obviously, a lot of stuff in health care since their FDA-regulated products go through a longer cycle time on regulatory side and qualification. And so our teams have been working, in some cases, as much as for the last 5, 6 years, and continue to -- it's a continuous process, and we are always working with our customers on the next cycle of things that they are going to be launching so that there's a pipeline that is in the process and going on. So that's how we manage this long cycle time or long regulatory qualification part of health care. But with respect to other materials in non-health care, qualification could be as short as few months, but in regulatory case, it could be 2 to 6 years even, so.
Michael Joseph Harrison: All right. Very helpful. And then on your guidance slide here, you noted one of your potential decelerators is slowing in Asia led by China. Can you talk about the trends that you're seeing in key markets in China right now? I guess, what are some of the signals that you're watching for that may indicate a need for caution in the second half?
Ashish K. Khandpur: Yes. I think there are two pieces. I mean, the color business in China is one end and there is a little bit pressure. And there is -- as you might have heard a little bit what's going on in China is the government is trying to get more optimized with respect to capacity. So it is -- the people are not cutting each other and creating unnecessary deflation in material. So the China government has come up with this thing called supplier structural reform policy that they're enforcing and which is leading to consolidation of, for example, automotive, EVs, which are excessive people making them in cars, making in China and things like that. And same things on the capacity side on raw materials as well. So this government policy is leading to a tightening of credit or as well as number of days of payments that are required to -- for people to pay their suppliers in China, and that is leading to a lot of businesses kind of either getting consolidated or shut down. And that obviously has an impact on business. So we have to watch that closely, what impact does it have as it is evolving through the economy. So I think that's part of the business. We continue to monitor, we predict that in Q3 as well, we will continue to see those pressures in China. But Offsetting that is some good stuff going on, on the SCM side where we are seeing a lot more growth happening on the high-performance computing with all these artificial intelligence and things going on. And we are trying to gain more share in that part of the market so that we can offset any downside on the color side from the SEM side in the high-performance computing market.
Operator: Our next question comes from Laurence Alexander of Jefferies.
Laurence Alexander: Just a question about some of what we talked about in health care and just the new products in general. I was wondering with those longer lead time products, if they have higher incremental margins or if margins in general -- incremental margins for newer products are substantially higher than the old ones? Is it like 40% versus 30% or just how it kind of plays out?
Ashish K. Khandpur: Yes. Laurence, I think the answer is yes. And that's one of the main reasons why we -- when we presented our strategy at the Investor Day, we identified health care as one of our growth vectors, specifically the drug delivery part and also the medical part, the core part of it. And obviously, it's a sticky business. Once you get specified, you kind of keep the business as long as that version of that device or that material is there. It's a business that is also if you maintain good quality and good service to the customer apart from the regulatory approval, it's a competitive advantage for us because we do that very well in Avient. And then overall margins perspective, it is very accretive to our business and that's also very nice for us.
Laurence Alexander: Have you ever quantified what the difference is for new products? I mean, is it 10% higher, 1,000 basis points higher? Or how should we think about it just in terms of modeling as new products become more prevalent?
Ashish K. Khandpur: Yes. I mean, I think overall, our intention of developing new products is to have margin accretive products. So I won't talk percentages here, but that's exactly how we are going to improve our margins, both by innovation and then also charging the value that we create for the customer through margin expansion. So for me, I mean, I think that's the primary reason why we feel apart from that and operational leverage, why we think our margins will continue to expand.
Operator: Our next question comes from Vincent Andrews of Morgan Stanley.
Turner Wills Hinrichs: This is Turner Hinrichs on for Vincent. I was wondering if you could provide a little bit more context for durability of some of the growth vectors between health care, defense and telecom. For instance, like are there some like reasons to believe that the health care outgrowth, which has been really fantastic as you all described is going to continue over the near to medium term? Or like how can you provide some context so that we can get a better handle on the go-forward outlook for these growth drivers?
Jamie A. Beggs: Turner, as we look at the underlying applications that we sell into health care, those things would be, for instance, respiratory care, glucose monitoring devices, drug delivery, labware, catheters, syringes and so on. All of those particular submarkets within there do provide, I would say, a long-term growth potential. So while I can't promise it will be growing double digits every single year. This has been a good growth opportunity based on some of the innovative platforms that Ashish mentioned earlier. We do feel that there is a strong growth potential that will continue into the foreseeable future.
Turner Wills Hinrichs: Great. Great to hear. One other one unrelated. So margins are down roughly 220 bps year-over-year in SEM. If I remove the $3 million of maintenance that you all mentioned in the second quarter, can you provide a little bit more color on either mix or spreads in that segment? Or like what's driving just the margin reduction like on a normalized basis, just so we can get a better sense for like where margin should be on the -- in the second half in particular?
Jamie A. Beggs: Yes. From a margin perspective, the majority of the decrease on a year-over-year basis is because of the planned maintenance. We also had some higher cost inventory that flew through that also compressed margins to some degree. As we look into the back half of the year, we do expect margin expansion. In fact, as I look forward, it would be likely to be closer to 100 basis points on a year-over- year basis. And when we get to the second half of the year, obviously, for the full year, that may be tamped down because of the Q2 planned maintenance. But we do expect that to, like I said, continue to expand because we don't have these one-timers that happened in Q2.
Operator: Thank you. Ladies and gentlemen, that does conclude Avient Corporation's conference call. Thank you for participating. You may now disconnect.